Operator: Good morning. Welcome to the Dye & Durham Second Quarter Fiscal 2026 Results Conference Call. [Operator Instructions] With me on the call today are George Tsivin, Dye & Durham's Chief Executive Officer; and Sandra Bell, Interim Chief Financial Officer of Dye & Durham. Q2 Fiscal 2026 earnings release, financial statements and MD&A are available on SEDAR+. Please note that statements made during this call may include forward-looking statements and information and future-oriented financial information regarding Dye & Durham and its business; and disclosure regarding possible future events, conditions or results that are based on information currently available to management and indicate management's current expectations of future growth, results of operations, business performance and business prospects and opportunities. Such statements are made as of the date hereof. And Dye & Durham assumes no obligation to update or revise them to reflect events, disclosures or circumstances, except as required by applicable securities laws. Such statements involve significant risks and uncertainties and are not a guarantee of future performance or results. A number of these risks and uncertainties could cause results to differ materially from the results discussed today. Given these risks and uncertainties, one should not place undue reliance on these statements and information. Please refer to the forward-looking statements section of our public filings, including, without limitation, our recently filed MD&A and earnings press release. For additional information for authorized details regarding Dye & Durham's cost savings, expectations, including relating to annualized EBITDA savings, please refer to the disclaimer in Dye & Durham's Q2 fiscal 2026 results. Presentation and Dye & Durham's press release dated November 12, 2025 and November 26, 2025. In addition, certain financial results discussed on this call are non-IFRS financial measures namely adjusted EBITDA. This measure is not recognized measure under IFRS does not have a standardized meaning prescribed by IFRS and is, therefore, unlikely to be comparable to similar measures presented by other companies. Please refer to the non-IFRS measures section of our public filings, including, without limitation, our recently filed MD&A and earnings press release. For additional information on the company's use of non-IFRS measures, including the company's definition of adjusted EBITDA and the applicable reconciliation of adjusted EBITDA to its most direct comparable IFRS measures. I'll now turn the call over to George Tsivin.
George Tsivin: Good morning, and thank you for joining us to review our second quarter fiscal 2026 results. When I took on this role in June 2025, it was clear the business had strong assets, but there is meaningful work to be done. Since then, we have focused on 3 priorities: building the right leadership team, completing a rigorous diagnostic and defining a disciplined path forward. Let me start with the fundamentals. Dye & Durham has a strong core legal software franchise serving small and midsized law farms across the central high-frequency workflows. We also operate a high-margin financial services business that continues to grow organically. Our products are embedded in daily operations across practice areas, creating recurring usage, durable relationships, unique data assets, opportunities for AI-enabled efficiency and meaningful switching costs. Those foundations are solid. What we have lacked is integration, consistency and operational scalability. Over the past several years, the company expanded rapidly through acquisitions, materially increasing customer and geographic reach. That expansion created a broad portfolio and global platform potential. It also increased operational complexity and fragmented systems. At the same time, pricing actions, cost reductions and leadership volatility introduced disruption for customers, employees and shareholders. The pricing actions the company took in our core product offerings, combined with minimum volume commitments and limited investment in our products resulted in a disconnect between perceived value and cost for our customers. While improving margins in the near term, these actions also allowed competition to enter the market. Those lofty margins have proven to be unsustainable in the long term. Our responsibility now is to restore balance and discipline. Since joining, we have completed a comprehensive diagnostic, several priorities became clear. Historically, growth leaned heavily on acquisitions, limiting visibility into underlying organic performance portfolio breadth and product fragmentation diluted customer focus and slowed innovation. Reduced customer retention in certain segments reflects the misalignment in our products price to value. And while prior cost actions supported margins, further structural efficiencies and stronger data infrastructure are required to create operational leverage to allow us to improve margins even in a competitive market. Margin improvement will come from rationalizing products and investing in operational improvements to drive global scale and operating leverage. While our acquisitions added customers and product offerings and opened new markets, which was positive, we now have the hard work to do to rationalize and integrate those platforms to drive growth. We did not get here overnight, and the path forward will also not happen overnight. Our plan will involve reinvestment of margin and cost savings, none of which is without risk that we will need to manage, including the potential loss of certain customers as we transition from legacy products to our new global product offerings. These findings reinforce our conviction in the underlying assets. They also clarify where focus is required. We believe the solution to turning around the business, leveraging the strong underlying assets and establishing sustainable growth is to execute a multiyear transformation to simplify, modernize and integrate our legal software portfolio into a unified global operating platform for small and midsized legal practices. We want to reduce our SKU count significantly and converge our fragmented product portfolio into global product lines. We believe doing so will drive growth in volumes, improvement in margins and improved shareholder value as a result. The objective is straightforward, an integrated practice management platform, embedded legal workflow applications, API-enabled data and due diligence and a unified customer experience. For customers, this creates a single source of truth across firm operations, standardized workflows, improved leverage of staff and real-time insight into performance and risk. For Dye & Durham, it drives higher retention and average revenue per customer as workflows become embedded, lowers customer acquisition costs through in-platform expansion diversifies revenue away from cyclical housing through expanded software-as-a-service penetration and improves capital efficiency through shared infrastructure. Integration and simplification are the growth strategy. It allows us to accelerate innovation, strengthen customer alignment and create operating leverage that compounds over time. We are already seeing early proof points. The launch of Unity in British Columbia on February 9 demonstrates how modernization and integration improve automation, adoption and engagement while strengthening retention. It reflects the direction of trial for the broader portfolio. In parallel, we are strengthening the operating foundation of the business. The savings from which we will use to reinvest in our global platform initiative. We have identified $15 million to $20 million in annualized EBITDA savings from structural efficiency initiatives with approximately 60% targeted to be actioned by the end of this fiscal year. Approximately 40% will come from consolidating global delivery and service teams, leveraging our international capabilities more effectively and rationalizing our footprint over time. Another 60% will come from automation and process standardization, including reducing manual workflows, eliminating duplicative systems and improving operational consistency. It has been an active start to fiscal year 2026. We have navigated accounting reviews, addressed regulatory matters, completed the divestiture of the non-core Credas business and used proceeds from the Credas sale to reduce debt. At the same time, we have built a new executive leadership team, completed our portfolio review, initiated product rationalization, approved the global platform road map, launched cost initiatives, introduced a refreshed sales process and successfully launched Unity in British Columbia. There is more stabilization work required. Pricing decisions, cost actions and organizational disruption over the past several years affected trust and operating rhythm. Our focus now is consistency, strengthening governance and rebuilding credibility through execution. After our AGM next month, we will be aligning with the new Board on our detailed strategy. With the Board behind a disciplined plan of action to achieve these objectives, we can focus on executing what is needed to deliver on our strategies to drive shareholder value. From that foundation, integration and modernization will drive growth. I would like to sincerely thank our customers, employees and shareholders as we work through this period of transition. Your patience, professionalism and partnership are deeply appreciated. We are committed to earning that trust every day to consistent execution and improved performance. I will now turn the call over to Sandra to review the second quarter financial results.
Sandra Bell: Thank you, George, and good morning, everyone. Thank you for joining us. For the first half of fiscal 2026 revenue was $215.3 million, representing a decline of $16.8 million or 7% year-over-year. The decrease was primarily driven by continued market softness and customer turnover affecting us legal software platforms, partially offset by growth in banking technology and contributions from Affinity in Australia. Adjusted EBITDA for the 6 months ended December 31, 2025, was $100.8 million, down 24% year-over-year. The decline reflects revenue pressure in legal software, targeted reinvestment in labor and IT infrastructure and a lower capitalization rate as certain expenditures were temporarily shifted from capitalized software development to maintenance expense. These reinvestments are deliberate and focused on stabilizing the business, strengthening customer retention and improving platform resiliency. Looking at the mix of revenue in the first half of fiscal 2026 Legal software contributed $161.5 million, while Banking Technology contributed $53.8 million. Banking Technology continues to provide stable, recurring infrastructure-like cash flows, which helped offset softer transactional volumes in parts of legal software. From an operating segment perspective, performance varies by segment. In Canada, revenue declined 10% in the 6 months ended December 31, 2025, year-over-year, driven by the broader market downturn and reduced customer volumes and pricing in practice management and data insights. Segment adjusted EBITDA declined 25%, reflecting the revenue impact, a lower capitalization rate and investment in sales, customer service and IT infrastructure to stabilize the core legal software operations. In the U.K. and Ireland, revenue declined 6% in the 6 months ended December 31 due to softness in search platforms. Segment adjusted EBITDA declined 26% year-over-year. Australia delivered revenue growth of 2% in the 6 months ended December 31, 2025, year-over-year, primarily driven by the Affinity acquisition, partially offset by declines in search and mortgage services. Segment adjusted EBITDA declined 14%, largely due to higher labor costs. Importantly, operating cash flow remains strong. Net cash provided by operating activities was $73.8 million for the 6 months ended December 31, 2025, compared to $62.3 million in the prior year period. The improvement reflects lower cash taxes, lower net interest paid and favorable working capital movements. We ended the period with $37.8 million of cash on hand excluding cash held for sale and the $185 million in investments held in escrow to settle the outstanding convertible debentures. Capital expenditures for the 6 months ended December 31, 2025, were $9 million, reflecting disciplined investment in platform development and maintenance. Subsequent to quarter end, we completed the sale of Credas for approximately $146.3 million in gross proceeds. We have already applied a portion of these proceeds to debt reduction, including a $30 million repayment on the revolving facility, reducing utilization below 35% and a USD 27.3 million repayment on the Term Loan B. We're using the remaining proceeds in accordance with our debt agreement through an excess proceeds offer, which we launched on February 9 and which will expire on March 9. These actions are aligned with our clear priority of deleveraging the balance sheet and strengthening financial flexibility. In summary, while legal software revenue remains pressured in certain markets, we are generating solid operating cash flow, reinvesting to stabilize the business and taking decisive action to reduce leverage and simplify the business. Our focus remains on disciplined execution, operational efficiency and restoring sustainable, profitable growth. With that, I'll turn the call back to George.
George Tsivin: Thank you, Sandra. To conclude our remarks, before we open it up to questions, let me summarize where we are today. First, we are focused on stabilizing the core legal software business and strengthening customer retention and execution across our platforms. In parallel, we are advancing targeted cost and efficiency initiatives designed not merely to reduce expense, but to create sustainable operating leverage. These efforts give us the flexibility to deliberately reallocate and where appropriate, increase investments in areas that directly drive organic growth, including sales capacity, product innovation and customer experience while maintaining disciplined profitability. At the same time, we are strengthening our systems and internal controls and enhancing transparency into the drivers of organic performance. Together, these actions position us to operate with greater discipline, sharper execution and a clear line of sight to sustainable growth. Dye & Durham has meaningful scale, deeply embedded workflows and a recurring revenue foundation. The opportunity now is to better integrate our products, restore consistency and allow the underlying economics of the business to perform as designed. We are moving from complexity to clarity from scale without integration to scale with discipline. The path forward is clear and we are executing against it. Thank you. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Joining us for this part of the call is Edward Smith, Chairman of the Board for Dye & Durham; and Nikesh Patel, Dye & Durham's Chief Product Officer. [Operator Instructions] Your first question comes from [ Stephen Michelson with BMO Capital Market ].
Unknown Analyst: It's been a minute since we talked, so there's a lot of ground to cover here. I guess with the strategic review process, can you share anything incremental on the status, scope or time line of the process? And just maybe give a bit of color into how that dovetails with the portfolio review you recently completed?
George Tsivin: Sure. Thank you for your question. Nothing meaningfully incremental other than to say we're looking at strategies to delever the business because we've accumulated a lot of debt. We're also looking at opportunistically opportunities that we have to sell the entire business and run it in the private markets. But we also are going to have to see what kind of bids we get on the company or on pieces of the company. And in the meantime, we need to be prepared to operate the company, and that's why we have laid out a plan to do so.
Unknown Analyst: Okay. And on the Canadian legal business. Can you provide some color on how much of the decline came from customer losses versus pricing actions versus the macro factors? I'm just trying to get a sense of, I guess, where this business is in terms of stabilizing?
George Tsivin: Sure. The market decline is playing a smaller role, 2% to 3%. Most of the decline is actually coming from a combination of price and volume. So in certain cases, we're losing volume. In certain cases, we're giving up price to preserve volume.
Unknown Analyst: Okay. So does that mean that there's less revenue coming from like unfulfilled minimum volume contracts?
George Tsivin: Yes, that's correct.
Unknown Analyst: Okay. And if I can ask one more. Which parts of the business would you say has stabilized? And I guess, additionally, where do you think the most work is to be done in terms of stabilizing the rest?
George Tsivin: We're seeing more stability and opportunity in the Search business in the U.K., and we have more work to be done in the Search business in Australia.
Operator: Your next question comes from Erin Kyle with CIBC.
Erin Kyle: I just wanted to follow up on one of the last questions there. Just on the Canadian legal business stabilizing here. Are you able to provide us with sort of an update here on where customer retention rates are sitting? And then is the 2022 renewal cycle now complete? Or so where do you stand in terms of renewal here?
George Tsivin: Not at this time, there's no further information that we're going to provide. But we will be coming out with a strategic plan in the coming weeks after reviewing with the Board. And so we may be able to share more at that time.
Erin Kyle: Okay. And then maybe I will ask then on the competitive dynamics in the legal business as well as the fintech business and whether you've seen any changes in the competitive landscape, particularly from any new entrants or any existing competitors in your core markets?
George Tsivin: In the Canadian conveyancing business, we continue to face competition from entrants with lower pricing that are delivering more value. Our financial technology business remains strong and is actually benefiting from the wave of refinances from post COVID.
Erin Kyle: Okay. And then I just wanted to quickly ask here on the OSC review, if we could maybe go back to that. And just if you could expand since it's been a while, discuss how that came about? And then the audit process, why that took as long as it did? And have you implemented any new internal controls here in the areas where misstatements occurred?
George Tsivin: Sure. I'll take that a few pieces at a time, and then I'll also have Sandra chime in, particularly on the OSC piece. The audit had several pieces to it, including the OSC, as you mentioned. It also had some long-standing issues with external parties that we had to address. I, as the CEO, have a very high standard for financial reporting, and I needed to make sure, particularly for periods that I was not employed by the company that I had comfort in the results that we were putting out. And so it took time to bring the results in those periods up to the level of standard of the current management team and also to satisfy the external authorities, including auditors and regulators in terms of their review. And part of the issue of driving this complexity is that in the minimum volume contracts that your colleagues referenced, we -- towards the end of implementing those contracts, we actually had many, many different variations of them to accommodate customers who could not meet those commitments. We had to go through every type of variation of those contracts to make sure that we're comfortable in the way that we're accounting for that revenue. Sandra, would you like to comment on the OSC?
Sandra Bell: Sure. As we mentioned publicly, there were 2 areas of the initial review. The first area was purchase accounting disclosures. And you'll see in the documents that we have filed subsequently that we have expanded our disclosures around acquisitions, and that came out of that review. The second piece was around goodwill impairment, and it was at the level at which we took our analysis of goodwill impairment. We resolved that with them as we were going to operating segments, and that had us do our goodwill impairment at the lower levels of the operating segment and the result of that was an impairment in South Africa, roughly $14 million.
Operator: [Operator Instructions] Your next question comes from Stephen Boland with Raymond James.
Stephen Boland: I just want to clarify the contract renewals, those are ongoing, right? This is not just one like 2022, like 2023 contracts are getting renewed. I just want to make sure that's clear and that those terms that were given to other customers are favorable terms are giving to these contracts that are ongoing, and being renewed. Is that correct?
George Tsivin: So just to tackle your question in 2 parts. Yes, the contract renewals are ongoing. We're typically on a 3-year cycle, because of when we started implementing the minimum value contracts, many of those contracts came up for renewal during the fiscal year 2025, but others are coming up for renewal in future periods. With regards to those terms that were given to other customers, we've actually implemented controls to simplify the way that we contract, one, to be fair to customers across the Board and make sure everybody is getting the same margin; and, two, to make it easier for our internal controls to be able to account operationally for those contracts.
Stephen Boland: Okay. And that kind of leads me into my second question, and I'll be probably a little bit direct here. A lot of plans been -- you've spoken about a lot of things in innovation and product redesign. But at the same time, your free cash flow is definitely, I presume thinning with these contracts renewing. I'm just -- are you confident that you're going to be able to sustain this business going forward and actually get these initiatives in place?
George Tsivin: Yes. We're very confident. Yes. I appreciate the direct question. We're very confident in being able to sustain the business. But we need to do what we need to do, which is simplify from 40 products down to 1 platform. We need to be able to deliver on the customer value proposition, and we need to be able to do so quickly and we've already had success in place with the launch of Unity BC. So here in a couple of months, the launch of our Wills & Estates platform as well as accounting in Canada, and then we're going to scale those capabilities across the world. And most importantly, doing so with 1 platform is going to create operating leverage. So when you simplify from 40 platforms down to 1, that's much cheaper to operate. We also have tailwinds coming from the fact that we've gone through a majority of our holdback and contingent payments and we're past those. So that will make it easier to preserve cash flow and reinvest in the business.
Operator: Next question comes from Gavin Fairweather with ATB Capital Markets.
Gavin Fairweather: Maybe just to start on the U.K. Search business. Interesting that you called out opportunities to grow there. Maybe you can expand on what you're seeing in the market and maybe also touch on the government review of kind of search processes in the U.K. and what you're seeing there?
George Tsivin: Sure. So a few points on the U.K. business and where we have opportunity. We have gone through a consolidation effort on to a single platform from a high-touch franchisee model into a low-touch centralized service model. And as part of that transition, which finished in fiscal year 2025, we lost some customers. We've been building back by listening to our customers and delivering the level of service that they expect. And as a result of that, the customer attrition and churn has stabilized. We have a few opportunities there. The first is customers that we do have getting higher share of wallet. So there are customers that have active contracts with us, but the actual users within those customers that are not using us, they're using a competitor. And so we're investing in customer success and training to redirect the usage to our products. As we also expand our global products reach, we're going to improve how that product works and the workflow, which will drive more usage. And finally, the biggest opportunity we have is actually scaling practice management and having practice management workflows drive search usage.
Gavin Fairweather: I appreciate that color. Maybe just on financial services or banking technology. Can you discuss the outlook for that segment from a pricing perspective or a share perspective? And maybe just comment on the performance this quarter. It looked like it obviously still produced a nice organic growth about 4%, but it was down a little bit from what we've seen in previous quarters.
George Tsivin: Yes, the outlook of that business is positive. It's locked into long-term contracts. This is an infrastructure like business, and we believe we're going to continue to benefit in the mortgage solutions part of that business from the increase in volumes as well.
Gavin Fairweather: Maybe I'll just squeeze one more in for Sandra. Onetime costs are bit higher this quarter. Can you give us a run rate for going forward?
Sandra Bell: Could you repeat the question? I apologize, you went out a little bit.
Gavin Fairweather: On the onetime costs, M&A and restructuring were a bit higher this quarter. Can you guide us going forward?
Sandra Bell: Yes. A lot of that, frankly, was related to 3 things, the OSC review, the restatement and the waiver process with the banks. So I would expect those numbers to come down fairly significantly going forward.
Operator: [Operator Instructions] Your next question comes from Robert Young with Canaccord Genuity.
Robert Young: Just an extension of the last question. The onetime costs, I mean, you said there are 3 buckets. Can you allocate it to those 3 buckets? And then I think the bulk of it is in Canada based on the disclosure. So I assume none of that is related to the Credas transaction. Is that correct?
Sandra Bell: I'll answer your second question first, correct. None of that's related to the Credas transaction. The costs there were built into the net proceeds we received. As to the others, we haven't allocated publicly. But frankly, in my opinion, they're all related to the restatement and the waiver is directly related to the delay in the financials. So you can pretty much take all of that and throw it in that bucket.
Robert Young: Okay. Great. And then on the -- you noted at the very end of the commentary that the volume of contingent payment and holdback you've reduced. I think in the disclosure, it looks like there's $38 million current and long term. Has that changed subsequent to the quarter?
Sandra Bell: Basically, we paid a number of those during the course of '25. That number is roughly what we have less, but it's spread over this year and next, not all at once.
Operator: Your next question comes from Stephen Boland with Raymond James.
Stephen Boland: Just one more. I guess the change in reporting segments, I guess why was that initiated now? And does that make it easier to sell pieces of the business? Like when you talk about the strategic review, is it like non-core products or non-core geographies that's being reviewed? I'm just -- I'm trying to get an idea why you did this segment change at this point?
George Tsivin: Yes. Sandra, why don't you take the question about the reporting.
Sandra Bell: Yes. George and Matt manage the business differently. And what drives segments is really about how P&L responsibility resides and the visibility he had -- George has in making his decisions. And so what drove this, frankly, was the change in CEO. It was helpful in the OSC review because the fact that we were going to segments and looking at impairment at a lower level really took one of the issues they had off the table.
George Tsivin: And just regarding the non-core asset question, most of the assets as part of the global platform strategy will be core. right? But we're going to look at opportunistically where we can simplify the business, whether that be product line or geographically and be able to reinvest. We're going to make smart decisions, right, if it's going to result in deleveraging such that the loss of profit is more than compensated by the decrease in interest payments and is positive from a cash flow basis that we're going to pursue those opportunities. Otherwise, we're going to hold on to them and run them like best-in-class businesses.
Stephen Boland: Okay. And just going along with that, is that part of this change, is that part of the reason like all the other non-GAAP measures were kind of removed, like average revenue, ARR, all the ones that were, I guess, previous, is that related? And will some of those metrics come back or different metrics be added over time?
George Tsivin: It's a different reason. So the main reason why we're no longer relying on that ARR metric is because we fundamentally actually dug into the business. At this point, we fundamentally running a volume and not a subscription business. And the ARR and the minimum contracts created complexity and created the impression that we had more subscription customers than we actually do. As we migrate to the global platform, we are actually going to pursue opportunities to get clients on to subscriptions by adding more value to their bundle, and that will effectively reduce our exposure to the housing market globally. Right now, about 80% of our business has some form of exposure to housing volume. So the removal of some of these metrics is not tied to the operating segments or the restatement. It's tied to a change in strategy. And yes, over time, we will look to introduce new metrics to measure our progress in terms of rolling out our products globally.
Operator: There are no further questions at this time. I will now turn the call over to George for closing remarks.
George Tsivin: Thank you, everyone, for joining us and for the thoughtful questions, and we look forward to speaking to you in Q3 in the spring.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.